Operator: Thank you for standing by. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would like to introduce your host for today's conference, Matthew Stroud, you may begin.
Matthew Stroud: Thanks, Kathy. Good morning, everyone. With me today are Clarence Otis, Darden's Chairman and CEO; Drew Madsen, who, as we announced this morning, has stepped out as Darden's President and COO in anticipation of his retirement at the end of the second quarter; Brad Richmond, Darden's CFO; and Gene Lee, who is succeeding Drew as Darden's President and COO. We welcome those of you joining us by telephone or the Internet. During the course of this conference call, Darden Restaurants' officers and employees may make forward-looking statements concerning the company's expectations, goals or objectives. Forward-looking statements are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any forward-looking statements speak only as of the date on which such statements are made, and we undertake no obligation to update such statements to reflect events or circumstances arising after such date. We wish to caution investors not to place undue reliance on any such forward-looking statements. By their nature, forward-looking statements involve risks and uncertainties that could cause actual results to materially differ from those anticipated in the statements. The most recent of these uncertainties are described in Darden's Form 10-K, Form 10-Q and Form 8-K reports, including all amendments to those reports. These risks and uncertainties include: food safety and food-borne illness concerns; litigation; unfavorable publicity; risks relating to public policy changes and federal, state and local regulation of our business, including health care reform, labor and insurance costs; technology failures; failure to execute a business continuity plan following a disaster; health concerns including virus outbreaks; intense competition; failure to drive sales growth; failure to successfully integrate the Yard House business and the additional indebtedness incurred to finance the Yard House acquisition; our plans to expand our newer brands like Bahama Breeze, Seasons 52 and Eddie V's; a lack of suitable new restaurant locations; higher-than-anticipated costs to open, close or remodel restaurants; a failure to execute innovative marketing tactics and increased advertising and marketing costs; a failure to develop and recruit effective leaders; a failure to address cost pressures; shortages or interruptions in the delivery of food or other -- and other products; adverse weather conditions and natural disasters; volatility in the market value of derivatives, economic factors specific to the restaurant industry and general macroeconomic factors, including unemployment and interest rates, disruptions in the financial markets, risks of doing business with franchisees and vendors in foreign markets; failure to protect our service marks or other intellectual property; a possible impairment in the carrying value of our goodwill or other intangible assets; a failure of our internal controls over financial reporting, or changes in accounting standards; and other factors and uncertainties discussed from time to time in reports filed by Darden with the Securities and Exchange Commission. A copy of our press release announcing our earnings, the Form 8-K used to furnish the release to the Securities and Exchange Commission, and any other financial and statistical information about the period covered in the conference call, including any information required by Regulation G, is available under the heading Investor Relations on our website at darden.com. We plan to release fiscal 2014 second quarter earnings and same-restaurant sales for fiscal September, October and November 2014 on Thursday, December 19, 2013, before the market opens with a conference call shortly after. We released first quarter earnings results this morning. These results were available on PR Newswire and other wire services. We recognize that most of you reviewed our first quarter results, so we won't take time to go through them in detail in an effort to provide more time for your questions. We will offer a line item summary of the P&L, discuss our financial outlook for fiscal 2014 and discuss our brand-by-brand operating performance summary. With that, let me turn it over to Clarence.
Clarence Otis: Thank you, Matthew. From a same-restaurant sales prospective, this was a difficult quarter for the restaurant industry generally, in casual dining in particular, and obviously, was a difficult quarter for us. This summer's sharp spike down in comparable sales within casual dining follows, I think we all know, were some pronounced spikes up and down this past winter and spring. And so we've concluded that as the sluggish and uneven economic recovery we've been experiencing for some time now persists, we can expect appreciably greater sales volatility in our industry. And it's important for us to be appropriately prepared for that because with the changes that we're making at our 2 largest brands, that volatility is amplified here at Darden. And so as a result of that, we've taken steps that will reduce our operating support spending by $50 million a year on an ongoing basis beginning next year, or fiscal 2015. For this year, fiscal 2014, the reduction will be approximately $25 million, and that will be offset by approximately $10 million of upfront costs to implement the plan. And the plan does involve the elimination of a meaningful number of support positions, about 85. And out of respect for the people who are affected most directly, we won't get into a great deal of detail about what it entails. What's important is that these actions provide us with the financial flexibility in the face of heightened volatility to do 2 things we need to do to regain operating momentum: invest in providing affordability to those guests who need more affordability and invest in refining our offers in ways that are responsive to guests who are more focused on other attributes of their dining experiences. And with that, let me turn it over to Brad to provide some financial detail about the first quarter.
C. Bradford Richmond: Thank you, Clarence, and good morning to everyone. Our first quarter financial results were clearly short of what we expected when we spoke to you in June, largely because same-restaurant sales and the guest counts were below our expectations. First quarter financial results were also adversely affected by 2 unusual items that, together, total approximately $0.03 EPS. First, there was a legal settlement related to a trademark issue that unfavorably impact net earnings, and the additional administrative costs associated with the reduction in our total unit growth that we had not factored in. Looking forward to the second quarter, I want to remind you that unlike last year, this year, the Thanksgiving holiday week, which is a soft week for us since we are closed on Thanksgiving, does not fall into the second quarter. Instead, it falls into our fiscal third quarter. We anticipate that the Thanksgiving holiday shift will benefit second quarter blended same-restaurant sales by approximately 100 basis points, and adversely affect third quarter blended same-restaurant sales by a similar amount. Additionally, the spending -- support spending actions that we announced today will adversely affect second quarter earnings. Although as Clarence said, there is a meaningful benefit for this fiscal year as a whole. In the second quarter, there will be an approximately $10 million upfront cost, offset by $3 million of savings in the quarter. The balance of the savings, about $22 million, will be spread pretty evenly across the third and fourth quarters. All of the costs incurred in the second quarter will be in the selling, general and administrative expense line. As we look ahead to the fiscal year, our outlook for total sales and earnings remains the same as it was when we spoke to you at the beginning of the first quarter. We still anticipate total sales growth in the range of 6% to 8%, and we expect blended same-restaurant sales for our larger brands to be flat, which is at the bottom of the 0% to 2% range we discussed in June. We also still anticipate that diluted net earnings per share will be down 3% to down 5%, with the combined benefit of our support spending reduction and the postponement of some of the provisions of the Affordable Health Care Act offsetting the softer-than-expected first quarter earnings. It is important to note that our blended same-restaurant sales expectations for our 3 large brands does assume that same-restaurant sales for the casual dining industry will rebound from what we saw in the first quarter, which, using our fiscal calendar, was the lowest quarterly results in over 3 years. Our outlook assumes that comparable sales for the industry are flat for the balance of the year. Turning more specifically to the first quarter, Darden's total sales from continuing operations increased 6.1% to $2.16 billion. On a blended same-restaurant sales basis, the results for Red Lobster, Olive Garden and LongHorn Steakhouse declined 3.3% in the quarter, with strength at LongHorn Steakhouse offset by weakness at Olive Garden and Red Lobster. And we saw continued same-restaurant sales gains in our specialty restaurant group with 0.5% same-restaurant sales growth on a blended basis. Food and beverage expenses for the first quarter were approximately 10 basis points higher than last year on a percentage of sales basis. This unfavorability was driven by a higher land-based protein and dairy cost. For the first quarter, restaurant labor expenses were approximately 110 basis points higher than last year on a percentage of sales basis due to wage inflation, reduced productivity and sales deleverage at Olive Garden and Red Lobster. Restaurant expenses in the quarter were approximately 140 basis points higher than last year on a percentage of sales basis because of the impact of adding Yard House. Since with their restaurant base that's 100% leased, it runs higher restaurant expense as a percentage of sales than our other brand. This represents about 1/4 of the increase on a year-over-year basis. And we had higher repair and maintenance cost across all brands, as well as the sales deleveraging impact at Olive Garden and Red Lobster. Selling, general and administrative expenses were essentially flat on a percentage of sales basis due to increase in media and media inflation, that was offset broadly by reduced spending. Depreciation expense in the quarter was approximately 35 basis points higher on a percentage of sales basis compared to last year because of the increase in new units and the remodel programs at our larger brands. Our tax rate this quarter was 20.8%, was about 330 basis points lower than the prior year, driven by increases in available tax credits and our tax planning initiatives. We continue to estimate that our annual effective tax rate will be approximately 20%, which is about 100 basis points lower than last year's effective tax rate. This annual effective tax rate though will vary from quarter-to-quarter. In the first quarter, reported total company operating profit margins fell by approximately 300 basis points compared to the prior year. Now turning to our commodity cost outlook. We have approximately 84% of our total food spend contracted through the second quarter of 2014, that's our fiscal year. And we have 38% of our total spend contracted to the end of the fiscal year. We have not fully covered our usage through the fiscal year because we believe that premiums for future contracts are simply too great given where we expect prices to be in the cash market as we look forward. Food inflation in the first quarter was approximately 2%, with beef and chicken inflation in the mid-single-digit range and dairy inflation in the low double-digit range. Seafood inflation was nominal, but we now expect double-digit inflation in the second, third and fourth quarters primarily related to the shrimp production [ph] issues in Asia. The source of the problem has been identified, but getting solutions in place is taking a little longer than we expected when we spoke to you in June. For the fiscal year, our current expectation is that our commodity baskets will see a net inflation in the range of 2.5% to 3%, which is about 50 basis points higher than we expected in June, again driven primarily by shrimp. Category by category, through the second quarter of fiscal 2014, seafood costs are higher on a year-over-year basis, with 100% of our usage covered; beef costs are higher on a year-over-year basis, with 75% of our usage covered; poultry costs are higher on a year-over-year basis, with the 100% of our usage covered; wheat costs are higher on a year-over-year basis, with 65% of our usage covered; and dairy costs are higher on a year-over-year basis, with 55% of our usage covered. Our energy costs are expected to be slightly unfavorable [indiscernible] on a year-over-year basis and we have contracted majority of our natural gas and electricity usage in the deregulated markets in which we operate, through the second quarter of fiscal 2014. And now I'll turn it over to Drew to comment on Red Lobster, Olive Garden and LongHorn Steakhouse, and then Gene will discuss the Specialty Restaurant Group.
Andrew H. Madsen: Thank you, Brad. And as Brad just said this morning. I'm going to comment briefly on the fiscal 2014 first quarter results and key sales dynamics at each of our 3 large casual dining brands. Now as a reminder, on our June call, we outlined the 3 strategic priorities that each of our large brands was going to focus on this year to regain same-restaurant traffic momentum, which is our top priority. And those 3 are: first, delivering our current guest experiences at a competitively superior level more consistently across all our restaurants; improving affordability; and third, evolving the experiences that each of our brands offers so that they remain responsive to what our guests want beyond affordability. Now LongHorn has executed effectively against all 3 of these strategic priorities and that's reflected in their strong sales performance. Same-restaurant guest counts increased 1.4% during the first quarter and exceeded our industry estimate by approximately 490 basis points. Same-restaurant sales were 3.2% above prior year and exceeded our industry estimate by 520 basis points. All measures of operations execution and guests satisfaction continue to improve at our LongHorn, and most notably, their 2 key focus areas of server attentiveness and steaks grilled correctly. In addition, our focus on our lowest performing restaurants is paying off, where the pace of progress on steaks grilled correctly in the bottom quartile is nearly triple the system average. The first quarter was supported by 2 6-week promotions. The first promotion, Steaks that Sizzle, featured 3 new affordable steak dishes priced at $11.99. The second promotion, Fresh Favorites, did not have a price point and reinforced our fresh, never frozen steak, chicken and fish brand equity by featuring 3 core menu entrees, Outlaw Ribeye, Parmesan Crusted Chicken and LongHorn Salmon. Both of these promotions performed well. In addition, we introduced the first of 2 new core menu platforms designed to broaden brand relevance and appeal, especially for those guests who are looking for high-quality, on-trend and distinctive dishes. Peak Season is our platform to bring seasonal news to the appetizer, drink, dessert and side dish categories. Summer choices featured in the first quarter included a Parmesan-crusted asparagus appetizer, fire-grilled corn on the cob side dish and a ranch house cob salad. In addition, this month, we just launched Chef's Showcase, which offers our guests entrées inspired by fine dining at casual dining prices. We're currently offering Porcini Portabella Ribeye and Pork Osso Buco. Despite the strong sales performance, operating profit was below prior year because of our decision to price below elevated levels of beef inflation. Plus, there was 1 extra week of advertising support during the quarter. For the full year, we expect the weeks of advertising support to be the same as last year. Olive Garden same-restaurant guest counts declined 3.8% during the first quarter. This performance trailed our estimate for the industry by approximately 30 basis points. Same-restaurant sales declined 4% and trailed our industry estimate by approximately 200 basis points. Now we're certainly disappointed with our performance at Olive Garden during the first quarter, especially given the improving guest count momentum that was achieved during the fourth quarter last year. Now we have achieved significant progress at Olive Garden on the first strategic priority, to deliver our guest experiences at a competitively superior level, more consistently across all restaurants. In fact, all guest experience measures are well above prior year, especially food taste, value and affordability. And false weights have also been reduced to all-time lows. In addition, we're ahead of schedule with the initial phase of our culinary simplification plan, which we believe will enable more consistent guest experience delivery. We also experienced less check erosion during the first quarter this year compared to the fourth quarter last year, especially during July and August and we expect this trend to continue as we wrap on similar prior year promotion constructs. Our biggest challenge was obviously guests counts, due to weaker overall industry conditions and 1 promotion that did not perform as well as expected in July. More specifically, we exceeded our estimate for industry guest counts during June when we advertised 3-course Italian dinner for $12.95. But we trailed our industry estimate during July when we advertised 2 Italian dinners for $25, which we believe was primarily the result of this promotion not having enough news to wrap on its successful debut at the same time last year. And then, we exceeded the industry again during August behind Never Ending Pasta Bowl. We're also continuing to evolve the Olive Garden experience so that it responds to what guests want beyond affordability. During the first quarter, this included the introduction of a new small plates platform called Taste of Italy, which offers our guests a more flexible and affordable way to enjoy their Olive Garden experience. And shortly, we'll be expanding the small plates section. We plan to begin the expansion of our remodel program at Olive Garden for all non-Tuscan farmhouse restaurants during the second half of fiscal 2014. And we're planning to open 15 restaurants in fiscal 2014, a reduction from the 36 restaurants we opened in fiscal 2013, which will allow our restaurant and leadership teams more time to focus on existing guests while building a stronger foundation for pursuing new guests and new occasions. Red Lobster same-restaurant guest counts decreased 5.9% in the first quarter. This performance trailed our industry estimate by approximately 220 basis points. Same-restaurant sales declined 5.2% and trailed our industry estimate by approximately 320 basis points. So similar to Olive Garden, we're disappointed with this performance, especially following the improved traffic and sales results at Red Lobster during the fourth quarter last year. Guest satisfaction improved noticeably during the first quarter, especially value, server attentiveness and pace of meal, driven largely by a return to 3 table service stations at the end of last year. And after 3 consecutive quarters of decline, checks increased versus the first quarter last year by 70 basis points and improved sequentially by 170 basis points compared to the fourth quarter. But our first 2 promotions, Seaside Mix & Match plus Four Course Seafood Feast did not perform up to expectations during June and July when we trailed our industry estimate on guest counts. During August, we performed in line with our industry estimate for guest counts, supported by Endless Shrimp, which we increased $1 back to the historical price point of $15.99. Now looking forward, next month, we will launch an initiative led by our directors of operations who will spend considerably more of their time in our lower performing restaurants, working with the management teams in a very hands-on manner to help elevate execution to standard, particularly on controllable cost management and especially on labor. And in November, we'll focus on improving culinary execution through some reduction in core menu complexity and by optimizing our food preparation model to help better position all our restaurant teams for success. We're on pace to complete approximately 100 remodels in fiscal 2014, and we expect to end the year with over 90% of our restaurants completed. And now Gene will talk about the Specialty Restaurant Group.
Eugene I. Lee: Thanks, Drew. The Specialty Restaurant Group delivered solid performance in the first quarter. Total sales for the quarter exceeded $281 million, which is 72.7% increase from the prior year. This growth was the result of our 65 net new restaurants across the group, which includes 46 Yard House restaurants and blended same-restaurant sales growth of 0.5. The Specialty Restaurant Group continues to deliver consistent sales growth with 14 consecutive quarters of blended same-restaurant sales growth. There was decline at Seasons and there are 2 issues contributing to this sales decline in Q1. First, we've made adjustments to the summer menu we believe will benefit us in the long term. However, these changes have resulted in a decline in check average. Second, there are 3 restaurants in a comparable base that significantly exceeded our expectations when they opened, but their sales have continued to decline well after the typical honeymoon period. However, their current performance is still well above our original expectations. The team is committed to improving the same-restaurant sales trends at Seasons 52 in the short-term while ensuring the brand remains healthy in the long term. In the first quarter, we opened an additional 6 restaurants over last year, and excluding opening expenses associated with these additional restaurants, the Specialty Restaurant Group grew operating profit year-over-year. Specialty Restaurant Group plans to 22 restaurants for the remainder of fiscal 2014: 4 Capital Grilles, 1 Bahama Breeze, 8 Seasons 52s, 3 Eddie V's and 6 Yard Houses, for a total of 28 for the fiscal year. The group remains focused on improving operational execution, developing on-trend food and beverage offerings that drive sales and continuing to evolve the look and feel of our restaurants. We are on track with our phase integration of Yard House. In the first quarter, both the supply chain distribution network and point of sale systems were converted. In the third quarter, Yard House will transition to Darden's benefits and bonus plans. Integration has been, and will always be, a distraction to restaurant operations. As the integration continues to wind down, we expect to regain same-restaurant sales momentum as the team is able to focus more in the core business. In addition, we are on track to achieve our targeted synergies. As we look to the remainder of fiscal 2014, our fundamentals of the Specialty Restaurant Group remains strong. We're confident in our strategic priorities and are well-positioned to deliver our long-term growth commitments. And now, I'll turn it over back to Clarence.
Clarence Otis: Thanks, Gene. Now with the difficult actions we announced today and the steps we're taking to build same-restaurant traffic and sales momentum at our 2 large brands to complement same-restaurant and new restaurant growth at LongHorn Steakhouse and the Specialty Restaurant Group, we continue to believe our near-term earnings targets are reasonable, despite a much more challenging environment than we anticipated back in June. As Brad said however, that does depend on some improvement from what were unusually weak industry conditions in the first quarter. What's most important, though, from our perspective is sustained success. And that is our focus. An intense focus on sustained success is what enabled us to help pioneer our industry, it's what has helped us significantly widen our competitive gap to others in the industry over the past 10 years when it comes to both absolute sales per year and absolute cash flow per year, and it's the driving force as we take the step that we're taking today; steps that we believe will enable us to maintain a strong leadership position in our industry for years to come. Two final comments. First, the action we announced today has been taken with considerable thought for our colleagues and friends who are moving on to other opportunities. We certainly wish them well. And given the company's long-standing values, we will support their transitions in a way that reflects their well-appreciated contributions to this organization. Second, we also announced that after a long and successful career at Darden that culminated in his serving as our President and Chief Operating Officer for the past 9 years, Drew has announced that he's retiring from the company. And what a 9 years it's been. While the past year has had its challenges, Drew has helped build Darden into the clear industry leader. Over those 9 years, we've increased our restaurant base by 71%, our revenues have grown 79%, our earnings per share have doubled, and our total shareholder return's been more than 110%. But I know that from Drew's perspective, what's most important is that he's help make Darden a special place to be, one that has consistently strong employee engagement. And strong engagement is what's enabled Darden to be named one of FORTUNE's 100 place -- best places to work for 3 consecutive years, and we appreciate what Drew has done to get the company to this point. With that, we'll take your questions. So let's get started.
Operator: [Operator Instructions]
Matthew J. DiFrisco - Lazard Capital Markets LLC, Research Division: Matthew DiFrisco at Lazard. My question's with respect to, I guess, just looking at the free cash flow. I might have missed this if you gave some guidance on that or updated the guidance on it. I heard you mentioned that in the second half of fiscal '14, you're going to resume the Olive Garden remodel, and that there's a 100 more remodels at Red Lobster. So can you give us an update as far as how that might affect your free cash flow and your CapEx budget in aggregate?
C. Bradford Richmond: Yes, Matt, this is Brad. In the guidance we've given before in terms of our total cash flow, and our -- in this case CapEx, we'll incorporate that. We had some testing funds in for Red Lobster's -- or excuse me, for Olive Garden, so they will continue to that and Red Lobster will continue on their plan. So there's really no change in our overall cap expectations. We bounce a little bit around here and there, but no major changes there.
Matthew J. DiFrisco - Lazard Capital Markets LLC, Research Division: And then I guess I had a question with respect to the specialties division. Gene, I think you mentioned that there was the Yard House -- some integration issues. I guess looking at the comp, was that primarily the reason for the comp going negative, or are there some regional things maybe specific to its Southern California regional exposure?
Eugene I. Lee: I think the point we're trying to make, Matthew, is that every time we've done integration, we take the focus off of I think 100% on the guests onto implementing systems. So we've experienced that with LongHorn, we experienced with Eddie V's, and we think we're experiencing that somewhat in Yard House. We wouldn't say there's an issue with integration. We think integration is on track. But the point we're trying to make is that is a distraction. When you change every point of sale or POS terminal inside a restaurant, there is a distraction to every single employee. And until they become unconsciously confident with that, your service standards will drop a little bit. We think we're beyond that at this point in time, and we think that our restaurant operations are improving. And we would expect, if the conditions continues to stay the same or improve, we will see positive same-restaurant sales in Yard House in the next 6 to 12 months.
C. Bradford Richmond: Matt, Brad here. Let me just add a little bit more on our free cash -- on our CapEx guidance we provided before. We're saying $600 million to $650 million really working towards the middle of that range and so the adjustments we've talked about here still keeps us in the middle of that range, hopefully, in the bottom half of that range, but clearly probably more in the middle of the range.
Operator: For your next question, Brian Bittner, Oppenheimer & Co.
Michael Tamas - Oppenheimer & Co. Inc., Research Division: This is Mike Tamas on for Brian. You talked about elevating your performance at your lowest performing units plus your brand...
Clarence Otis: Brian, we can't hear you on this side. If you could get closer to your microphone.
Michael Tamas - Oppenheimer & Co. Inc., Research Division: For improvement. And then related to the spending cuts, can you talk about any opportunities beyond $1 million [ph] annually? It sort of seems like this is the tip of the iceberg. I just want...
Matthew Stroud: Yes, Kathy, we can't hear him. Brian, can you either pick up your headset or requeue. Thanks.
Operator: We'll go to the next question. Michael Kelter, Goldman Sachs.
Michael Kelter - Goldman Sachs Group Inc., Research Division: Yes, on the $50 million of cost cuts, you mentioned a reduction of 85 support positions. But you, also in the release, mentioned, beyond the workforce reductions, there were program spending cuts. To what were you referring when you said program spending cuts? And then could you help with the $50 million number overall? Are you confident that there's not more you could do? That that's all you can cut at the organization level?
Clarence Otis: Yes, I would say on the program side, we are talking about a number of different initiatives across several functions that we think are value-added initiatives but lower priority than some of the other things that we need to focus on. And so that spans marketing and it also includes some of the things that we've been doing on the supply chain side. So it touches a lot of different places, but it adds up to a meaningful part of that total, that $50 million. I would say that with the cuts that we made, we're pretty comfortable that $50 million, on an ongoing basis, is a reduction. There is the possibility it could be somewhat higher than that, but that's the number we're comfortable with right now. And with that number, we still are able to make the investments that we need to make beyond affordability. And so we are investing in a number of things that we think we need to invest in to stay relevant to our guests as their lifestyles change. And so we're continuing to invest in making our technology platform more robust, for example, so we can better engage with our customers on a -- or from a digital perspective. It also sets up, we think, our opportunity to do a much more segmented, targeted, one-on-one marketing with our customers. And ultimately, hopefully, that will allow us to scale back our broadcast media spend.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And then separately, your free cash flow this quarter post dividend payment was firmly negative. Was there anything particular about the quarter? Or is this a dynamic we're going to have to expect until the business turns around? And given that dynamic, doesn't it make sense to cut CapEx further until the business stabilizes?
C. Bradford Richmond: Yes, Michael, Brad here. There are some seasonality to our cash flows, particularly as we look for the year and features that we may run in the different brands during the time. So it is down, principally driven by the earnings that we reported. But in terms of the -- our annual expectations with the guidance we've given, we still feel comfortable with that range. And to the tune of CapEx and opportunities there, we continue to look at those. We're still seeing approximately 80 net new restaurants this year. That's still a pretty good number. If anything, we may be 1 or 2 shy of that versus 1 or 2 over that. But we continue to evaluate those opportunities as we go through the year. But we don't see what we're looking at any need to make more significant adjustments other than the adjustment that Clarence talked about earlier in terms of our support cost.
Operator: Your next question, David Tarantino, Robert W. Baird.
David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division: And Drew, best of luck as you move towards retirement. And Gene, congratulations on your promotion. My question is for Gene. I was just wondering if you could share some initial thoughts on any changes that you might make in the strategic direction or any opportunities that you see that you might implement as you move into leading the entire Darden enterprise?
Eugene I. Lee: I think that what we've outlined is the 2 issues or the 2 issues that need to be addressed. We have to address affordability. We also have to address the need of the consumer who can afford to spend more. And we need to make sure that we continue to improve that part of what we deliver to each and every guest. As far as saying anything more at this point in time, I think, would be irresponsible. What they say, a prescription without diagnosis is malpractice and I really would like to have some time to get to talk to the team in great detail, learn a little bit more about each of the businesses. But one thing I would say is that through my lens, I start from an operational perspective and I hope to bring a little bit more focus operationally to the businesses and that's just my roots. That's where I come from. So at this point, that's really all I want to say and I'll probably have more comments when we get together in December.
Operator: The next question, Jason West, Deutsche Bank.
Jason West - Deutsche Bank AG, Research Division: Just want to talk about some of the comments around the industry and the sales volatility, and you guys said some of the changes that you're making at Olive Garden and Red Lobster are somewhat exacerbating the volatility, which we certainly saw from the monthly trends. Just wondering if you could talk more about what's driving that volatility and then just the bigger picture of kind of driving positive comps that you need in the rest of the year to get to the guidance.
Clarence Otis: Yes, I would say, as we look at the industry, it was a surprisingly weak summer, given the macro numbers, where we didn't see dramatic change in the economic macro numbers. I mean, still anemic growth, but nevertheless growth. Same thing at the beginning of the year from a macro perspective. But if you look back to the beginning of this calendar year, we've seen some pretty -- more pronounced volatility than we've been seeing before. So some pretty big downward spikes, February comes to mind, followed by some reasonably big up spikes and then we saw the down spike this summer. So as this sluggishness persists, we're getting amplified volatility and hard to say why. I mean, there's been a lot of speculation that consumers have deferred some big ticket expenditures on auto, on appliances, some other things. And as they are forced sort of 6, 7 years into this to replace those, with relatively flat budgets, they've got to do some more disciplined budgeting and dining out is one of the things that may be paying a price for that. We suspect there's some truth to that. And so all of that says that for a lot of consumers, I mean, we're on the right track and really trying to make sure that we provide them with the affordability that they need because they need affordability in order to dine out. We get a little bit more volatility because we're in the middle of change. I mean, we're transitioning and putting more affordability on the core menu than we've had in the past. Some of those things that we changed to, whether they're promotional or on the core menu work better than others. And so that's, I think, explaining our incremental volatility to the industry.
Jason West - Deutsche Bank AG, Research Division: And just the comments on the guidance, it implies comps will kind of turn positive here for the balance of the year. I mean, do you expect to see that in the near term? Or what gives you kind of confidence that you're going to outperform the industry with a positive comp in the next 3 quarters?
Clarence Otis: Yes, I would say a couple of things about the future. I mean, from a industry perspective, this first quarter was really an outlier in terms of the spike down. And so we do hope and expect that that's the case, and that we would see it, as I think Brad said, bounce back from -- it looks a little bit more flat for the balance of the year. That would still mean, for our fiscal year, the industry's slightly down and that's 1 point, 1.5 points worse than we thought when the year started because we thought that this fiscal year would look a lot like last fiscal year from an industry perspective. In terms of our brands, really beginning next quarter. And so first quarter last year, we were pretty much on top of the industry on an overall basis. Red Lobster, a little bit behind, yet Olive Garden sort of [ph] right on top and a little bit ahead and LongHorn, well ahead. But beginning in the second quarter last year, we started to lag more dramatically the second and third quarter. And then we responded to that with a more intensive focus on affordability. So from a year-over-year perspective, we've got softer comps than the industry and that drives some of our expectation.
Operator: Our next question, John Glass, Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: First, if I could just ask about the guidance overall. And as I understand it, you've maintained your guidance for the year. I think it's fair to say you missed your first quarter expectations, but sort of correct me if this was in line maybe with yours even though it was out of line with ours. You've talked about 50 basis points more food cost pressure. That's like another $45 million. And now your comp guidance's at the very low end of your range and you're cutting -- your cost cutting, I think, is just $15 million net. So how do you square that with getting to your same old guidance? Is there some offset? And in answering that, could you address this compensation expense? I think it was $0.35 you talked about. Is that now being adjusted down because of the performance in the first quarter?
Clarence Otis: Yes, I would -- I'll start and then hand it over to Brad. But clearly, your expectations for the first quarter are higher than ours. And so that means that your expectations for the balance of the year were lower than ours because you're sort of where we were for the entire year. And so there is some of that going on. We also, on the cost side, before the steps that we were taking as we outlined annual guidance, were pretty conservative. And so we had some places where we thought there was some opportunity to ratchet back spending beyond what we announced today. And that was in our guidance, and we're taking advantage of those opportunities.
C. Bradford Richmond: I think broadly a couple of unique items is the Affordable Care Act. We anticipated about $0.06 implementation cost of that as we begin the year. It's probably going to be half that cost, maybe a smidgen less because there were some parts that deferred but not all of it. And so we have some costs but that's a little bit of a benefit to our numbers. And I think more broadly is, as you step back and look at this, if you look at the margin contraction on a year-over-year basis, it was really in the second quarter of our prior fiscal year when we got a little bit more aggressive on our promotional pricing and some of that. So there was meaningful margin compression last fiscal year for the second, third and fourth quarter, will now be wrapping on that this year so we don't have as much of that margin contraction. That kind of get to Clarence's earlier points about the quarterly spread that you had. And then also, you saw some areas on a year-over-year basis; LongHorn had a price point -- or a feature that wasn't price pointed. You saw Red Lobster this year in the shrimp, shrimp costs are up. But they price that at $1 higher than the prior year. And even August vis-à-vis the industry, the consumers recognized that still as a good value. So those type of adjustments that we have planned for the remainder of the year, we won't go into those details at this point. But those are the factors that really help us as we work through the math to say what's a good expectation for our sales and our earnings performance. There's a little less sales, so we're going to do a little bit better through [ph] some of the cost initiatives that we talked about to improve the margins from where they were before to stay in that same earnings range.
John S. Glass - Morgan Stanley, Research Division: And if I could follow up, just first if you can just maybe address the -- if the $0.35 compensation piece was adjusted or not? And then just wrap this in my second question as well, which is the volatility you're seeing in sales surprises me in that it's up and down versus the industry, so I understand you can't control the industry trends. Why do you think that volatility versus the industry exists? Is it because your own promotions continue to maybe not be as consistent -- it's an internal issue? Or are you continually being surprised by what the competition's coming out with and so you're reacting more or you are being hurt by those external forces and individual competitors moving the efficacy of one of your promotions around? Which do you think it is?
Clarence Otis: I think, as we look at same-restaurant sales, obviously, marginal guests are critical, so every incremental guest. And a lot of those incremental guests are driven by price and affordability. Our brands are at the top of the range when you look at the check average continuum in casual dining. And so when you get sentiment swings that affect consumer spending and consumers get more cautious, we're going to feel that a little bit more regardless of what else is going on and that's just a reality but that same reality is why our operating cash flows are as high as they are.
C. Bradford Richmond: And John, Brad here. On the comp part of your question, yes, I mean, we were below our expectations for the quarter. So we talked about approximately $0.35 year-over-year compensation headwinds. It's not that coming out now. We're not going to detail how much but it is less. But we built our expectations which is what that comp expense is built around. This quarter was not as strong as broadly the market was looking at that. So it was clearly a number of pennies [ph] that we had in the first quarter, but there's still a fair amount of that ahead of us in quarters 2 through 4.
Operator: The next question, Joe Buckley, Bank of America Merrill Lynch.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Drew and Gene, my best wishes and congratulations as well. I have a question based on the -- Drew's departure. Dave Pickens was promoted in July to a position that sounded like he may have been in line to succeed Drew. And of course, that was not the case. So can you talk a little bit about that, give us some perspective on Dave's role and kind of the driver of the decision to move Gene over into the COO role?
Clarence Otis: That was not the intent when we made the move with Dave. We had a position that we feel is important, which is to have someone lead some important operations initiatives that cut across all the brands beyond what needs to get done day-to-day within each brand to support the business. And so we've got things, for example, like the Affordable Care Act rollout that cut across all the brands that requires senior leadership to really get developed and implemented appropriately. And so Dave is working on that. He's working on some other cross-brand operations initiatives that we've we don't want to talk about for competitive reasons. That's an important role and he'll continue to do that in support of Gene. I think as we looked at where to go when Drew announced his decision, we've got a lot of talented people. Gene has been in the restaurant business for 30 years. And he has seen a lot of different kinds of brands, mass market brands, specialty brands. He knows that broad range of customers. He has a terrific sort of intuitive feel for why people dine out, what they want out of restaurants, whether that restaurant's a diner or a fine dining restaurant. That intuitive feel, along with all the other things he learned over time, are important as we talk about refining the guest experiences that we provide to respond to guests' needs that are pretty dynamic. And so that operational background is very important. And Gene's also served as Chief Operating Officer of an enterprise, certainly not as big as Darden, but still, when you look at the restaurant business, a relatively large enterprise and that was rare, which was $1 billion plus in annualized revenues when we acquired it in 2007.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And then a question on the CapEx. Brad, you said you would hope to be around the midpoint of the $600 million $650 million range. Given the industry weakness, are you making adjustments at this point to fiscal '15? What are your thoughts on the sort of the CapEx trends in fiscal '15?
C. Bradford Richmond: Yes, we -- Jo, we continue to look at that. Like I said earlier, it's more likely to drift down than up for sure. We continue to look at those opportunities. And we're just -- as we look into next fiscal year because particularly the new unit component of that investment, which is the biggest part of that, biggest single part, those are long lead decisions, 12 to 18 months. So further dramatic revisions in the current year, not likely. We'll continue as we move this year to make adjustments that we see appropriate as we look at fiscal '15. But more likely to be down, with the exception of the SRG brand. Strong business model, strong brands performing well. We'll continue to invest strongly there.
Clarence Otis: And I would just add, Joe, when we talked a while ago, that as we look at '15, we're going to be pretty cautious, pretty focused on business trends as we think about Olive Garden. We're down the '15. And so we have the ability for sure to be flexible downward there and that's something that we preserve. And then even as we look at the brands that Brad mentioned growing more robustly, we're pretty focused on making sure that we don't get ahead of our sort of talent pipeline. And so this year, Gene talked about 8 restaurants at Seasons. That number is certainly not going to go up. And to the extent that it changes, it may go down slightly to make sure we don't get ahead of ourselves from a talent pipeline perspective.
Operator: Next question, Jeff Bernstein, Barclays.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Two questions. Just first, a follow-up from a comp perspective. It seems like you guys are happy with the most recent August trend perhaps running ahead of the industry. But broadly with that volatility increasing and it being accentuated at your brands, just wondering whether you see that as a driver of maybe increased promotional intensity or can you size up what you're seeing in terms of the industry as they're dealing with this volatility and perhaps how you would like to position yourself in terms of your response? And obviously, you're trying to balance promotions versus long-term brand building. But just trying to get your sense for how the industry is dealing with this volatility.
Clarence Otis: Yes, I would say, Jeff, too early to tell. And so August was certainly better than July, which was really a tough month, down roughly 4% in the industry. But August was still a tough month, down about 1.7%, I think that's about right. A little too early to tell the industry response at this point.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: But I mean, just more broadly, you talked about calendar '13 being volatile in February and July. I'm just wondering what you're seeing across the industry as everyone is battling with this kind of consumer sentiment volatility being so enhanced. What are you seeing in terms of the competitive landscape?
Clarence Otis: I think everyone's focused on their spending and their support platforms and making sure that they've got flexibility there. And so I don't think we are alone in that. Other people have more structural opportunities on the efficiency side than we might have in some areas that we've already addressed, so supply chain, for example, and some of the inter-restaurant systems. But the moves that we announced today really are enabled by some steps that we've taken in the last couple of years. So in marketing, for example, we've separated responsibility for current periods. So that tactic's from responsibility for multi-year evolution that allows us to be more efficient from a support staffing perspective actually and marketing and operations. We've got some -- a new multiunit leadership level that we feel enables us to have somewhat wider spans of control at the old leadership levels. On the support side, the technology work that we're doing further automates not just supply chain but a lot of the data collection, data mining, operational and financial reporting, and that allows for some efficiency from personnel perspective as well.
Operator: Next question, Will Slabaugh, Stephens.
Will Slabaugh - Stephens Inc., Research Division: Could you help us figure out what's going on relative to your intent of the lower entry price point promotions and then how you think those are being perceived by the guests and how that's mixing in the check? I guess, I'm just trying to get at the lack of traffic impact there from those promotions.
Andrew H. Madsen: I'm sorry, I didn't hear the very last part of your question?
Will Slabaugh - Stephens Inc., Research Division: Yes, just saying I'm trying to get to the lack of traffic impact from those lower price point promotions?
Andrew H. Madsen: Yes, I think the biggest question there is making frameworks that we've got, like 2 for $25 or a 3-course meal, even more distinctive by each brand. So there's been a couple of questions about, do we need to increase our intensity promotionally? We don't think we do. We dialed that up last year already, and we'll be wrapping on that, as I think Brad mentioned earlier, over the next 3 quarters. So we don't think we need to dial it up. We think that we need to refine it in a way that does a better job of bringing in the incremental guests and not just trading existing guests to a somewhat lower priced dish, which is what happened with Red Lobster in particular in June. And you can see that way it's working at LongHorn and that's ultimately what we want to move towards.
C. Bradford Richmond: Will, Brad. I think to only thing I'd add to Drew's comment is we talk more about same-restaurant sales, we also have additional insight of the traffic. We -- our 3 large brands have been above the industry on traffic. They were this most recent quarter, as well as the prior quarter. So building the traffic and keeping our brands in front of the consumers during this time. We're making good progress there. Obviously, we want to build the check as well but we can be patient and build the business for the longer term, more so than just the particular quarter that we're in.
Will Slabaugh - Stephens Inc., Research Division: Got you. And as a quick follow-up there, it sounds like your plan for the year assumes some improvement in the restaurant macro environment, and correct me if I'm wrong there. But could you talk, just assuming that things don't improve, what that free cash flow generation outlook might be and what you would start to look to, either cut cutbacks or et cetera to preserve that dividend?
C. Bradford Richmond: Yes, we have said on an annual basis, one point of same-restaurant sales for us is in the neighborhood of $0.15 EPS and so you can work that back into the cash flow. But even as you see a little bit in the first quarter, a company of our size, a large balance sheet like -- that we have, there are other opportunities that we're working on to enhance our cash flow opportunities. Some of those are the timing of certain events. We had some of those going against this in the first quarter around certain payments and things like that. So we can continue to manage through those throughout the year to help manage the overall operating cash flow that we have. So there's still opportunities there. We've talked about some CapEx, continuing to evaluate to make adjustments there. But by and large, we do look at our annual projection and we do need the industry to improve some back to that flattish level, if you will, for our fiscal year as part of our expectation.
Clarence Otis: From a cash flow perspective though, we have talked about what that point of comps is worth and it's roughly $30 million on what is roughly $1 billion annual operating cash. And so it's not a dramatic -- as dramatic a move at the operating cash level as it is at the reported earnings level.
Operator: Our last question, Andy Barish, Jefferies.
Andrew M. Barish - Jefferies LLC, Research Division: Two quick ones. On the promotional stuff, I guess, how is -- with the price points relatively similar, how are you kind of really getting at affordability? Is it through sort of electronic, digital stuff that we're not necessarily seeing on TV? Can you sort of address that? And then just as a follow-up on operating margin guidance, I think it was down 60 to 80 bps. Is that essentially the same? And with the 2Q so skinny, it implies kind of a -- almost a flattish back half operating margin. Is that kind of what you're thinking still?
Clarence Otis: Yes, I would start on the first one and I'll hand it off to Drew but it's -- inside that price point, what's the quality of the particular product that you're offering? So consumers are very savvy. And so to the extent we have the same price but we have a better product, then that's going to put us in a better situation from an affordability perspective.
Andrew H. Madsen: Yes, and that's largely what I meant by saying we've elevated our promotional intensity. The price points are going to vary by brand, but we want to make sure that what we're offering within those constructs is distinctive and differentiated and compelling and high quality. I mean, that's ultimately the way we're going to win with those.
C. Bradford Richmond: And Andy, Brad here. On the margins, thanks for asking that. We are looking for roughly the same margin impact that we've talked about at 60 basis points, give or take a little bit, and maybe a little bit hard to see when you look at the first quarter. I'll go back to the comment I made earlier that our promotional approach that we had really took hold last year in our second fiscal quarter. And so the margin contraction that you've seen in the first quarter is not what you should be projecting for the remainder of the year. Your comment on doing the quick math is probably about right. The remainder of the year is -- may vary some by quarter, but roughly flat is what we're looking at because we're wrapping on a very similar comparison last year in our strategies.
Matthew Stroud: We'd like to thank everybody for joining us on the call this morning. We recognize there are still some of you in the queue who had questions. We'd certainly be happy to answer those, if you want to give us a call here in Orlando. Thank you very much for joining us, and we'll speak to you in 3 months.
Operator: All right. Thanks for joining today's call. Just to remind you that the toll-free replay number for today's call is 1 (888) 568-0421 or 1 (203) 369-3921. This completes today's conference. You may disconnect at this time.